Executives: John D'Orazio - President and Chief Executive Officer Paul Nester - Chief Financial Officer
John D'Orazio: Alright. Welcome to RGC Resources Fourth Quarter Earnings Call. I am John D'Orazio, President and CEO of RGC Resources. Thank you for taking the time out of your day to attend. Please mute your line and hold your questions until the completion of the presentation. Also the link to today’s presentation is available on our website at rgcresources.com on the Investor and Financial Information page. Before we begin, just a reminder on forward-looking statements as shown on Slide 1. Moving to Slide 2, we plan to review key operational and financial highlights, our outlook for 2018 and take any questions. Our fourth quarter earnings per share are $0.09 and as shown on Slide 3 2018 fiscal year earnings per share are $0.95, which is a $0.09 or 10% improvement over 2017. We will cover more fourth quarter and year end financial results later in the presentation. As Slide 4 highlights, we invested $5.8 million in a regulated utility in the fourth quarter, a $1.5 million increase over the same period last year. Approximately $1.8 million was spent on infrastructure replacement, $3.5 million on customer growth, and $0.5 million on other capital needs. The quarter-to-quarter increase was primarily due to elevated spending on system reinforcement projects supporting customer growth. Slide 5 shows year-to-date capital spending. We are approximately $2.5 million ahead of 2017 primarily due to infrastructure replacement and system reinforcement projects supporting customer growth. We continue to experience steady customer growth as shown on Slide 6. We added 108 customers in the fourth quarter and have added approximately 600 customers in the fiscal year. On Slide 7, our total volumes increased 3% and our commercial and industrial volumes increased 4% in the fourth quarter compared to the same period last year. On Slide 8, our year-to-date commercial volumes increased 20% compared to the same period last year and of significance our top 10 customers’ usage increased 7%. We are on Slide 9. Mountain Valley Pipeline or MVP is under construction with a targeted in-service date of the fourth quarter 2019. During fiscal 2018, we invested approximately $11 million in the project. And as you may recall, the MVP Southgate expansion was announced in April. The FERC filing was completed in November 2018. MVP Southgate is projected to be in service at the end of 2020. Now, I’d like to introduce Paul Nester, our Chief Financial Officer, and he will review the fourth quarter and fiscal 2018 financial results.
Paul Nester: Thank you, John. For those of you following along via webcast, we are on Slide 10. We will begin by reviewing fourth quarter results. Fourth quarter operating income is approximately $745,000 and essentially flat to 2017. We experienced increases in the infrastructure replacement rider or SAVE revenue, customer growth, and industrial volume. However, these increases were offset by the $513,000 rate refund related to tax reform. Equity earnings in our Mountain Valley Pipeline investment increased approximately $221,000 over the prior year due to the increasing investment in the project. Other operating income is favorable when compared to fourth quarter 2017 due to the $138,000 pre-tax impact of revenue sharing and lower miscellaneous expenses. Due to tax reform, income tax expense for the fourth quarter was $210,000 favorable. Let’s move on to our full fiscal year results. Operating income is slightly below the prior year due to the $1.66 million tax reform adjustment. Without this adjustment, operating income increased approximately $1.59 million primarily due to the increases in the SAVE rider revenue, customer growth, and industrial volume. As planned, operating expenses excluding gas costs remained flat to 2017. Equity earnings in the Mountain Valley Pipeline increased $517,000 on the full fiscal year. Interest expense increased approximately $544,000 in 2018 on higher borrowing and higher rates. Fiscal year 2018 net income increased over $1 million or 17%. John will now provide the 2019 outlook.
John D'Orazio: Thank you, Paul. Let’s review our capital expenditure projections. In fiscal 2019, we plan to invest approximately $45 million. As highlighted on Slide 11, $22 million will be invested in Roanoke Gas with the focus on infrastructure replacement and customer growth. The remaining $23 million will be invested in Mountain Valley Pipeline. Roanoke Gas filed its general rate case in early October. The case is currently under commission review. Proposed rates will begin January 1. This is our first rate case since 2013. It incorporates the impacts of tax reform, Embed’s infrastructure rider surcharges in the base rates and updates cost of service and rate base. Finally, our fiscal 2019 earning guidance range is $1 per share to $1.4 per share. That concludes our prepared remarks. We would now like to take any questions from the audience.
A - John D'Orazio: